Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Fourth Quarter and Full Year 2020 Results Conference Call. All participants are at present in listen-only mode. Following management's formal presentation, instructions will be given for the question-and-answer session.  As a reminder, this conference call is being recorded and will be available on the BOS website as of tomorrow. With us on the line today are Mr. Eyal Cohen, CEO and Mr.  CFO. Before I turn the call over to Mr. Cohen, I would like to remind everyone that forward-looking statements for the respected company's business, financial condition and results of its operations are subject to risks and uncertainties, which could cause actual results to differ materially from those contemplated.
Eyal Cohen: Thank you and welcome to BOS Earnings Call. I am pleased with the progress we made in the second half of year '20 with two consecutive quarters of growth in the revenue and profits. We have made significant progress in building the Robotics division to be the growth engine of BOS. We saw its initial yield in the fourth quarter revenues as the Robotics business became the primary growth factor. Our Robotics division provides downstream automation mainly for mold producers starting at the mold injection process to the quality inspection, assembly, and packing of the molds. Our Robotics system reduces the workforce, shortens the production cycle and improved quality controls. Those are the critical factors for improving ROI. The Robotics division mission is to be a leading provider of Robotics systems for mold producers mainly in North America. To execute this mission, we established sales and technical support in the USA and we made good progress in improving production efficiency at our development and production center in Israel. Yet we have a lot to improve and I am on it personally. Supply Chain division. Its revenues reduced by 5% in year '20 primary related to India's market, but thanks to increase in North America sales and improved gross profit margins, the operating income of year '20 amounted to $1.1 million, roughly the same as it was in year '19. RFID division, its revenues for year '20 decreased by 7% due to the COVID, but thanks to cost reduction and improved gross profit margin, the operating profit of year '20 increased to approximately $1 million versus operating loss of $100,000 in year '19. That completes my review and now I will take your questions.
Operator: Thank you. Ladies and gentlemen, at this time we will begin the question-and-answer session.  The first question is from Todd Felte of Advisory Group Equity Services. Please go ahead.
Todd Felte: Good morning. Congratulations on a great fourth quarter and an exciting forecast ahead. I wanted to ask you about the Robotics growth in the U.S. I know you had mentioned that that would be the growth engine of the company going forward and I know we are hoping to see some additional contracts soon, but can you may be give a little color around the amount of proposals you are working on this year as compared to last year in that area?
Eyal Cohen: Hi Todd, thank you for the question. We reorganized the U.S. sales operations and it started to work on the new format in January '21. It works very well and meets our expectations, and as you mentioned and I mentioned also that I hope to make the breakthrough sales in the coming months as I cannot give number of proposals because it's not publicly released before, but we have a very good rate. What we achieved in one quarter we didn’t achieve in one year with the previous structure of the sales office in the U.S. So I hope to make that we will make the breakthrough in the coming months in the U.S. market.
Todd Felte: That's great and one follow-up question. I know that you recently had done a financing at the end of the fourth quarter. I just wanted to clarify and see if there was going to be any need for additional financing coming up or if -- so you expect there to be no more dilution and no need for additional capital in 2021?
Eyal Cohen: No, we don't expect to raise additional funds in year '21, and if there will be a need due to any target acquisition, it will be -- I will let the investor know about it before, but I don't see it happening in the year '21.
Todd Felte: All right. Thanks again and congratulations on a great fourth quarter and looking forward to 2021.
Eyal Cohen: Thank you, Todd.
Operator: The next question is from Marc Schindler of Pivot Point Advisors. Please go ahead
Marc Schindler: First of all, thank you very much for doing the conference call and congratulations on a fabulous quarter. Looks like the company is really poised for good growth this year and next year. I wanted to ask you in particular about the Robotics division, can you elaborate a little bit on what you're seeing in that division and the types of proposals, and what your target market is and the margins, et cetera? Thank you so much
Eyal Cohen: And thank you Marc. The Robotics division, the Robotics division we provide the bouncing  automation mainly for mold producers and we are targeting our solutions, our product to mainly to North America. We have existing truck  customer in South America as well. We have a smaller client base in the U.S. which we want to increase. The type of the target audience is, the mold producers. We are very focused on those manufacturers in which we provide them a complete set of automation starting at the point of the injection process of the mold toward the quality inspection of the mold, assembly of several parts of the mold into one unit and automatic packing solution systems for the mold. And as I mentioned, those systems reduce significantly the workforce, shorten the production cycle, improve the quality control and it has a proven ROI for the mold producer-manufacturers.
Marc Schindler: Wonderful, thank you so much.
Eyal Cohen: Thank you
Operator:  There is a follow-up from Marc Schindler of Pivot Point Advisors. Please go ahead.
Marc Schindler: Yes, can you tell us the savings that the companies derive from your robotics machines and what type of orders you're seeing going forward on the Robotics division please?
Eyal Cohen: The saving as I mentioned is mainly in the workforce, where the mold producers engage a lot of stuff a lot of the workers to part the molds after the injection process, to stock it, to pack it, to check it, put it into boxes, and we provide automation for all of it, and in those days we completed installation of one of our -- a client in the U.S. which we implemented a full automation line and in this line you won't see workers, meaning there are starting at that the taking out the molds from the injection machine, doing a vision assembly, and then they stock it into sleeves, then put it into box, even there are no employees to open the box. We have automatic machines that open the box, create it and opening it, then we put -- the Robotics system puts the sleeves into boxes and automatic machine close the boxes. So you won't see employees on the floor and -- but each manufacturer can use certain models of the system, certain manufacturer take it to the end, and the others takes certain models, it depends on their budget.
Marc Schindler: I see, excellent. Well, thank you so much and keep up the good work. It seems like you've got some great products in Robotics division and others. Thank you so much.
Eyal Cohen: Thank you very much. Thank you.
Operator: There are no further questions at this time. Before I asked Mr. Cohen to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on the company website www.boscom.com by tomorrow. Mr. Cohen, would you like to make your concluding statement?
Eyal Cohen: Yes, thank you for joining our call today and I am and we are looking forward to our next earnings call in May. Thank you. Have a great day.
Operator: This concludes BOS fourth quarter and full year 2020 results conference call. Thank you for your participation. You may go ahead and disconnect.